Operator: Thank you for standing by and welcome to the JELD-WEN Holding, Inc. Third Quarter 2023 Earnings Conference Call. I would now like to welcome James Armstrong, Vice President of Investor Relations to begin the call. James, over to you.
James Armstrong: Thank you and good morning. We issued our third quarter 2023 earnings release last night and posted a slide presentation to the Investor Relations portion of our website, which can be found at investor.jeld-wen.com. We will be referencing this presentation during our call. Today, I'm joined by Bill Christensen, Chief Executive Officer; and Julie Albrecht, Chief Financial Officer. Before I turn it over to Bill, I would like to remind everyone that during this call, we will make certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to a variety of risks and uncertainties, including those set forth in our earnings release and provided in our Forms 10-K and 10-Q filed with the SEC. JELD-WEN does not undertake any duty to update forward-looking statements, including the guidance we are providing with respect to certain expectations for future results. Additionally, during today's call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their most directly comparable financial measures calculated under GAAP can be found in our earnings release and in the appendix to our earnings presentation. With that, I would like to now turn the call over to Bill.
Bill Christensen: Thank you, James and thank you everyone for joining our call today. I'm pleased to report that our third quarter results were better than we expected marking the third quarter in a row that we have executed well against our short-term goals to strengthen the foundation of JELD-WEN. I want to thank the entire JELD-WEN team for their continued hard work especially as we operate in a challenging business environment and progress on our performance improvement activities. Today, I will first provide a brief overview of our third quarter results before turning it over to Julie to discuss the financial results in more detail. I will then highlight our transformation journey and share some of what you can expect from us going forward. I'll begin with our third quarter highlights on Slide 4. While sales were in line with our expectations, earnings were above our forecast, primarily due to continued solid price/cost results. We also continue to generate strong cash flows driven by earnings and working capital improvements. I'm also pleased that we are delivering on our commitment to simplify the business and better balance our cost structure. We completed the divestiture of our Australasia business early in the third quarter and repaid $450 million of long-term debt with the proceeds. In addition, we continue to remove fixed cost from our business, including certain site closures in North America that I'll discuss more on the next slide. We are also actively planning actions to further improve our performance and unlock significant value for JELD-WEN shareholders, which I'll talk about later in my remarks. Turning to Slide 5. As part of our ongoing activities to strengthen our foundation, we continue to reduce our fixed costs with the closure or announced closure of three facilities. First, we completed the closure of our Atlanta Doors facility during the third quarter. As we discussed earlier this year, we anticipate approximately $11 million per year in EBITDA savings as a result of this site closure. Next, we are in the process of closing our international Wood Products, or IWP business in Tijuana in Mexico. This facility primarily makes specialty exterior wood doors and as consumer preferences continue to move towards fiberglass, this operation has become non-core to our business. Although the savings are relatively small at approximately $2 million a year, it is a further simplification. Finally, we announced the closure of the Vista California Vinyl Windows manufacturing facility, which was underutilized and had a high operating cost. We expect to save approximately $8 million a year by moving the production to other facilities within our network and therefore, better utilizing existing capacity. We continue to see opportunities for further simplification of our footprint, which I look forward to speaking about in the future as we execute our plans. I'll now turn it over to Julie, to go through our third quarter financial performance in more detail.
Julie Albrecht: Thanks Bill. Turning to Slide 7, you see our consolidated results for the third quarter of 2023. Our third quarter revenue was approximately $1.1 billion, down 5.5% from a year ago. Driven by a reduction in our core revenue due to market-driven volume reductions, partially offset by slightly higher pricing. Our adjusted EBITDA was approximately $106 million in the quarter, leading to an adjusted EBITDA margin of 9.8%. This strong year-over-year margin improvement of 150 basis points despite lower volumes, reflects our solid execution of productivity actions in areas such as site closures, headcount reductions, freight management savings, and sourcing optimization. As you see on Slide 8, our third quarter revenue decline was driven by lower volume mix of 10% and which was partially offset by 3% of price realization. This higher pricing mostly relates to our price increases in the second half of last year to offset cost inflation. I'll provide additional comments about our North America and Europe volume trends shortly. And also, you'll find a revenue walk, including segment details for the third quarter and the first nine months of this year in the appendix of our earnings presentation. On Slide 9, you see that our adjusted EBITDA increased by approximately $11 million year-over-year. We generated solid profitability contributions from favorable price/cost and improved productivity, which were partially offset by the impact from lower volume mix. Related to price/cost, we are focused on pricing discipline as we continue to see inflation in our overall costs. While inflation is lower in certain areas, we see cost pressures in areas such as labor and insurance. Additionally, we are on track to achieve approximately $100 million in cost savings this year. In the third quarter, we realized approximately $30 million of these savings that are reflected on our EBITDA bridge in productivity and SG&A. Our run rate is increasing due to the timing of actions that started earlier this year. Now, moving to our segment results on Slide 10. In the third quarter, our North America segment generated $790 million in sales, down approximately 5% from year ago levels. This was driven by a core revenue decline of 5%, due to lower volume mix of 7%, with a positive impact from price realization of 2%. North America had adjusted EBITDA of $100 million down 5% year-over-year, while margins remained stable at 12.6%. Despite the market-driven demand weakness, our North America team is delivering solid earnings results as well as strong cash flow. A key driver to the region's cash flow is a focus on inventory reduction which was a result of more rigorous and standardized inventory management practices. Across our North America region, the team continues to focus on identifying and executing actions to improve both operating efficiency and our working capital metrics. Europe generated $287 million in revenue and $24 million in adjusted EBITDA. Core revenues decreased by 11% in the quarter, driven by lower volume mix of 17%, which was partially offset by higher price realization of 6%. Adjusted EBITDA was 35% higher year-over-year, leading to a strong 260 basis points of margin improvement to 8.5%. This improvement was due to positive price/cost results and solid productivity gains. Similar to North America, our Europe team is focused on delivering solid earnings and cash flows despite the ongoing volume challenges, and this focus will continue into 2024. Now, turning to the market outlook on Slide 11 and starting with North America. We are expecting a better full year for North America than we presented on our second quarter earnings call. We now expect North America volumes to be down high single digits due to slight improvements in both single-family home construction and R&R activity versus our previous expectations. In the US, higher interest rates continue to impact single-family housing starts and permits, but given the lower availability of existing homes for sale and homebuilder incentives, our outlook has improved with new home construction declining 10% to 15% year-over-year compared to our previous outlook for a 15% to 20% decline. For our repair and remodel markets, we now anticipate full year volumes to be down in the mid-single-digit range versus the mid- to high single-digit range previously expected. After a slow start to the third quarter, we saw a pickup in our R&R activity and believe that inventories are at critically low levels throughout the channel. In Europe, we continue to anticipate that demand will be down by low double-digits as the market weakens due to the region's ongoing macroeconomic and geopolitical challenges. Our European volume mix was down by 14% in the first nine months of this year, and we expect a fourth quarter volume mix decline similar to what we experienced in the third quarter. On the residential side, we see broad-based declines of 15% to 40% in new residential construction starts depending on the country and in some specific markets, residential construction demand is down by as much as 80%. In addition, repair and remodel activity remains under pressure due to the continued soft macroeconomic environment. In the commercial construction market in Europe, volumes are expected to be stable in the near-term, but are beginning to show signs of declining in 2024 as the market works through backlogs and new projects are being delayed. On Slide 12, we provide our updated full year 2023 outlook for revenue and adjusted EBITDA. While we remain cautious in these continued uncertain operating conditions, we are confident in our ability to deliver our forecast and are tightening the ranges of our revenue and adjusted EBITDA guidance. Further, we are raising the midpoint of our adjusted EBITDA guidance due to our solid third quarter results and our unchanged outlook for the fourth quarter. We now expect full year 2023 revenues to be between $4.25 billion and $4.35 billion and full year adjusted EBITDA to be between $365 million and $375 million. Specific to our outlook for this year's core revenue, our first nine-month core revenues were down by 2% versus the prior year as carryforward price increases mostly offset lower volume mix. In the fourth quarter, we expect a low double-digit decline in our core revenues due to reduced volumes combined with limited year-over-year price increases. All of this combines to support our updated full year outlook for core revenues being down 4% to 6%. Now, turning to Slide 13, you can see how our results in the first nine months of this year, combined with our outlook for the fourth quarter to support our updated full year guidance. As I've described in my comments this morning, our third quarter global price/cost benefits were better than our expectations, and we continue to successfully execute our planned cost reduction initiatives. In the fourth quarter, our outlook is in line with our prior expectations, as we expect to continue delivering on our cost savings actions which mitigate the impact of lower year-over-year volumes. We remain focused on generating strong cash flows to invest in ourselves and further strengthen our balance sheet. Our year-to-date third quarter operating cash flow was $273 million, which is a $346 million improvement over the same period last year. The primary driver to this significant increase in cash flow is improved working capital management with all components of working capital contributing to the strong improvement. We continue to see opportunities for reduced working capital as we focus on implementing best practices across our business. We are pleased to have achieved our near-term goal of net leverage below three times and have updated our medium-term target to be between two and two and a half times. I'll now turn it back to Bill to discuss our plans for improving JELD-WEN's financial performance.
Bill Christensen: Thanks Julie. Before I comment on our transformation journey, I want to take a second to address the goals that JELD-WEN established in 2021. Slide 15 shows the 2025 targets JELD-WEN presented at our 2021 Investor Day. Unfortunately, instead of steadily driving results towards the goals, our performance deteriorated. It is true that macroeconomic conditions have been tough since then. However, the company did not have the foundation in place to achieve these goals. As a result, we are formally withdrawing the company's long-term targets that were communicated in 2021. As I'll speak to in a moment, we are focused on delivering in the short-term and setting ourselves up for success with an increased focus on accountability. Moving to Slide 16, our approach has not changed from what I've shared in previous earnings calls. In the short-term, we need to continue to strengthen the foundation of our business. We are making progress reducing our footprint and our operating costs by implementing basic programs such as managed transportation. However, we have a lot more to do before we can declare success and have a strong foundation to build from. We're also beginning to prepare for the long term and are in the process of developing plans to deliver and sustain increased profitability. We are assessing opportunities to grow in each of our lines of business and want to only invest where we see potential and the right to win. This process will take time and thoughtful analysis, but we have plenty of opportunity to work with. Turning to Slide 17, you'll see the three phases of our transformation journey. While we are actively executing the first phase of fix the foundation, we began Phase 2 earlier this year with a comprehensive end-to-end analysis of the potential in the business including both our culture as well as our financial performance. I'll talk more about these first two phases in the next several slides. On Slide 18, and as we've mentioned on today's call, you see some of the actions we have taken to fix the foundation. We've already simplified our structure, selling the Australasia business in the third quarter. With the proceeds from that sale, we repaid long-term debt and reduced our net leverage below our three times near-term target. We have made significant working capital reductions, especially reducing network inventory levels and we have already taken significant steps to adjust our cost base. Our commitment to deliver $100 million of cost savings in 2023 is on track, including, as I described earlier, the closure or announced closure of three facilities this year. As we develop the next phase of our journey, we've been focused on improving our culture and gathering ideas to meaningfully grow our profitability. These ideas were then put through a disciplined review process to evaluate their feasibility, cost and expected returns, both in terms of return on invested capital and organizational execution capabilities. I'm extremely pleased and optimistic about the results of this process, and I look forward to sharing more about the potential impact next quarter as we look into 2024. For now, it's safe to say that the potential improvement to the business is substantial, and we are now sequencing a clear road map of the projects. Turning to Slide 19. In previous earnings calls, I've shared my three focus areas: people, performance and strategy. Our transformation journey is now focused on the first two areas; to be able to drive the performance we want, and investors deserve, our culture needs to adapt and change. We have organized a cross-functional culture and capabilities work stream that is focused on improving trust and measuring, then improving JELD-WEN's organizational health. This includes building the necessary capabilities and focusing on the behaviors required to reach and sustain our full potential. This team is actively addressing ways to increase accountability and performance through appropriate rewards and incentives, building manager skills, and improving safety and communication across the organization. As we work on our culture, we're also driving performance improvements through both growth and cost initiatives. Our growth plans don't include plans to swing for the fences, but instead are focused on the basics such as upgrading our go-to-market processes and using training to increase our sales force effectiveness. We're also focusing on improving our pricing capabilities as we anticipate further inflation. Most of our near-term performance efforts are on cost reductions, both accelerating and expanding on themes we already have in focus. We are rightsizing and consolidating our manufacturing network, investing in automation, and utilizing our scale to streamline sourcing among many other smaller initiatives across the organization. As one example, last week, our Board of Directors and senior leadership team visited our doors manufacturing site in Garland, Texas, where we saw firsthand the opportunities we have in areas such as automation and inventory management. Additionally, as we indicated previously, to drive these permanent cost reductions, we'll be investing more on ourselves as we execute on our solid pipeline of high ROIC projects. Turning to Slide 20, I look forward to sharing more on our transformation journey going forward. In our next earnings call, which will be in mid-February, we are committed to giving more color on market conditions, our 2024 guidance as well as our internal investments and action plans. We will also provide a near-term scorecard of our expectations as well as mild markers to measure our progress. We are excited about the opportunities to improve and sustain results, and I'm confident that JELD-WEN can deliver significantly improved profitability metrics. In the near-term, we expect our 2024 actions to more than overcome anticipated macroeconomic headwinds. We appreciate your continued interest in JELD-WEN and I'll now turn it over to James to move into Q&A.
James Armstrong: Thanks Bill. Operator, we're now ready to begin the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Phil Ng with Jefferies. Please go ahead.
Phil Ng: Hey guys. Congrats on the really strong performance this year in a tough demand backdrop. The team's obviously executing quite well.
Bill Christensen: Thanks Phil. Good morning.
Phil Ng: I guess, first off, from a demand standpoint in North America and Europe, are you seeing any stabilization since I think in North America, in particular, I think your high single-digit volume to clients. Imply maybe declines could accelerate in the fourth quarter. It doesn't seem like the case, but it helpful to kind of give us some color on North America and perhaps looking out to 2024, any early read, many of your building products peers have talked about maybe flat to down R&R market and maybe growth in housing, but just kind of help us unpack what that means for JELD-WEN?
Bill Christensen: Yes, thanks Phil. So, we are seeing the market stabilize at these, I'd say, low run rate level. So, no surprises for us in Q3 if you remember, we had improved a bit our expectations on R&R from kind of high single, down to mid-single down. That's what we're seeing. Similarly, in Europe, it remains soft. The headwinds are there. it's too early for us to guide on 2024. What we're basically saying is the current market reality. We expect that to continue from a volume decline standpoint as we roll into Q4. So, no surprises, but also clearly no strong signals of significant rebounds and we're going to share more color when we talk in February on our Q4 results, but also our views on 2024.
Phil Ng: Got you. That’s helpful Bill. Sorry, go ahead Julie.
Julie Albrecht: Yes, I was just going to add, North America last year in Q4, we did have a pretty strong backlog that we were working through. And so that did help last year's fourth quarter volume-wise in North America. So, this year, we don't have that same backlog working through. And so there is a little bit more of a year-over-year headwind volume-wise, just from that dynamic.
Phil Ng: Okay, super. And once again, Bill, you're probably going to tell me you're going to give us a little more color in February. But the $100 million of cost savings you guys have achieved so far in a really tough demand backdrop is truly impressive in my opinion. From a baseball analogy, help us kind of contextualize where you are with this journey. You gave us like Phase 1, Phase 2. In terms of this $100 million build in cost savings, what inning are you and when we kind of look out to next year, can you kind of build off this? Because I think that tailwind is accelerating in the back half and looking out to next year, once again, demand still for visibility still seems pretty challenging. Do you have enough levers to kind of offset perhaps another weaker year from a demand standpoint where you can actually grow EBITDA next year?
Bill Christensen: Yes. So, let me start with the second question, Phil. So, clearly, there's ample opportunity, and that's what we're saying today is that we do feel confident that the number of projects that we're sequencing clearly gives us conviction that we're going to be able to definitely offset volume headwinds based on our current expectation. I'd say we're in the early innings to use a baseball analogy. We expect from the 100 that roughly 50 will roll forward into 2024. And as I said in my prepared remarks, we're in the process of sequencing and we went through a pretty broad-based process across our organization to gather all of the opportunities, put some pricing around it. and put some resources on it. And so that's what we're kind of getting dialed into 2024. There's a couple of implications that's going to have, number one, is expectations, our EBITDA will be up. Number two, we're expecting, as we've been signaling a significant CapEx increase to fund those high ROIC projects, our expectation is kind of moving from the roughly 2.5% into a quarter of 3% or 4% to fund those projects. We have ample cash flow, obviously, based on the performance to self-fund all of that. So, we feel pretty comfortable given current market conditions. But as you well know, Phil has been pretty volatile. So, we will definitely share a lot more color in February when we can really share a better line of sight and obviously, our sequencing and execution of projects continue. So we'll obviously give some more detail at that point.
Phil Ng: Thanks a lot. Appreciate the color.
Bill Christensen: Yes, you're welcome. Have good day.
Operator: Our next question comes from the line of John Lovallo with UBS. Please go ahead.
Matt Johnson: Hey, good morning guys. This is actually Matt Johnson on for John. I appreciate I guess, first off, based on your 2023 outlook, it looks like 4Q EBITDA margin is implied around 7.5% on which looks like it will be down a little over 200 basis points sequentially and recognizing sales will be lower sequentially as well. I guess, is there anything else driving the sequential contraction in margins?
Julie Albrecht: Yes, good morning. This is Julie. Yes. No, not really. I mean, it's really very seasonal. When you look at our historical seasonality trends of sales and EBITDA, you think about ended the year with the holidays and the impact that has on really demand and our operations, we typically see fourth quarter margins down really, so looking maybe more importantly is year-over-year that -- and you're right about that 7.5%, that is the implied margin in our guidance. That is almost 100 basis points over last year's fourth quarter. And so I think that's what I would really highlight more than the sequential drop-off is more of that year-over-year improvement in the fourth quarter.
Matt Johnson: Appreciate that. And then I guess, you guys also mentioned seeing a bit of a pickup in R&R activity during the third quarter. I guess, what was driving this? And with regards to inventories being very low are you guys expecting some replenishment across the channel within your 4Q guide? Or do you think this would be more of a 2024 phenomenon if it did happen?
Bill Christensen: Yes. So, definitely 2024. If it did happen, we're not planning or expecting any significant rebalancing of inventories in the channel. Our comments have been consistent that channel inventory is extremely tight. We're seeing stockouts. We're seeing some lines drop below 90% in stock, which are trigger points for some of our big retail partners to reload. So there's specific balancing that's happening. We were expecting, as we shared in the third quarter kind of mid-single-digit declines, which is how it's played out and I wouldn't point to any specific factor driving this. Year-over-year comps are mixed, depending on if you're looking at windows or doors into your exterior, I would just say the general feeling is that consumers are cautious about spend for the obvious reasons that we hear about almost on a daily basis and all of the news that we reach. So, no big changes expected in Q4 and no major rebalancing of inventories that are baked into our Q4 results.
Matt Johnson: Thanks guys.
Bill Christensen: Thanks Matt. Have a good day.
Operator: Our next question comes from the line of Stanley Elliott with Stifel. Please go ahead.
Stanley Elliott: Hey good morning everyone. Thank you for taking the question. A quick question on the bump on the CapEx piece, how long do you think this will last? Some of these investments, my guess is it from an automation standpoint, you're already getting teed up for next year? Just trying to get a sense for, one, how long you're looking at this elevated CapEx piece. And then two, kind of what that ultimately will end up doing for free cash flow.
Bill Christensen: Yes. So, I'd say it's definitely not a one-year topic. There is ample opportunity and what we're working through right now is the ability of our organization to digest and execute just on the volume of projects that we do have, and we're sequencing. So, think of this Stanley as more two to three-year. And obviously, we're sequencing high-impact projects. Said differently, do you have a very attractive return on invested capital. And obviously, we're looking at things like cost to achieve, complexity to achieve, duration and making sure that we're balancing. So, it's a two to three-year uptick in CapEx and at that point, we'll kind of reevaluate what we have been saying, Julie and myself since we started sharing our insights about the state of the union at JELD-WEN as we were clearly under-invested and we had too many sites. We did not invest appropriately in the sites, and we need to reset that. And this is what the process is signaling that we are starting to do that. So, Julie can maybe comment on the free cash flow implications for you, Stanley, just to make sure you can kind of size that appropriately.
Julie Albrecht: Yes, sure. Good morning Stanley. And what I'd say is we're still -- we've had obviously a really great year rebounding with cash flow generation this year after a week, unusually n a week 2022, so we're still very bullish and confident about cash flow generation of the business. You think about strong EBITDA, still opportunities for some amount of working capital improvement as we look into next year and expect to deliver next year, and we'll provide more on that in our February call. But all that said, and this increase investing in ourselves is really capital and when you think about restructuring cash costs, other operating expenses as we ramp up improvements to the business. But nonetheless, we would still expect to be free cash flow positive next year. So, we're still obviously putting all these plans together, but absolutely confident that we've got the funds. We'll be generating the funds we need to invest in ourselves, again, OpEx as well as CapEx and again, would expect to be staying free cash flow positive in 2024.
Stanley Elliott: Perfect. And then just as a follow-up, kind of you talked about some of the longer-term profitable growth plans for you all. Could you remind us maybe what are some of the return on capital that you're targeting? Maybe talk about some of the things you're doing behind the scenes to explore new products and design new products to kind of win in the marketplace as you guys mentioned.
Bill Christensen: Yes. So, as you know, Stanley today, we shared once and for all that we're resending kind of the 2021 guide that was put out at the Investor Day for 2025 goals. If you look at our logic around kind of return on capital employed, there's a couple of things that we're looking at. Obviously, we need to be delivering returns that are significantly above our weighted average cost of capital and we see ample opportunities. So, this is definitely high teens or better. The kind of returns that we're looking at and the kind of opportunities that we're seeing. So, that's our expectation and aspiration. But clearly, we need to deliver. And that's something that we're working hard on trying to hit some singles on a quarterly basis to really create a conviction in the capital market and with our investors that we have a high stage ratio and we're delivering on our promises. So, we don't want to get ahead of ourselves. We just want to make sure that the blocking and tackling and fixing the foundation is running according to plan. And as we ramp up our CapEx, we're going to prove to the capital market that we do see those appropriate returns, and we'll show that by delivering the results.
Stanley Elliott: Perfect. Thanks so much and best of luck.
Bill Christensen: You're welcome. Have a good day Stanley.
Operator: Our next question comes from the line of Susan Maklari with Goldman Sachs. Please go ahead.
Susan Maklari: Thank you. Good morning everyone and thanks for taking the questions.
Bill Christensen: Good morning Susan.
Julie Albrecht: Good morning.
Susan Maklari: Good morning. I think let's start on price/cost. Can you talk a little bit about how you're thinking of pricing maybe to end this year and then into next year? And especially any updates relative to the inflation that you mentioned that you're continuing to see come through the business?
Bill Christensen: Yes. So, maybe I'll give a couple of high-level comments, Julie can maybe add some more color if that's appropriate. So, we -- as we signaled earlier this year, our goal is to stay price/cost positive. We see -- we still do see inflation, but it's trending at a lower rate, but it's still up. And the third point would be we do have a higher base effect in H2 2022 that we're comping against because we had really then started kind of pushing the prices through last year in the second half. There's no major actions that we're currently planning because we feel that the price that we have in the market is appropriately sized. But at this point in time, we're evaluating what the perspectives are for 2024, as we kind of look at our sourcing opportunities and input costs. So, on a high level, it's status quo, but we're evaluating, obviously, what we want to do next year.
Julie Albrecht: Maybe the only other color I'd add to that, Susan, is just very specifically in the fourth quarter. And as Bill just mentioned, we've been mentioning this trend all year. But in the fourth quarter in our forecast, we have very little year-over-year price impact to the top line and very little price/cost. So, really, what's driving our Q4 outlook is the volume mix decline that we've mentioned and then again, really basically offset by cost reductions and productivity. So, that price/cost benefit. We had a lot in first half less so in Q3, we really do expect to, I'll say, flatten out significantly in the fourth quarter. So, just adding that additional clarity there.
Susan Maklari: Okay, that's helpful color. Thank you. And then, Bill, in your prepared remarks, you outlined some of those completed or those announced changes to the -- to some of those facilities that are -- will be closing. I guess when you think about the asset base that the business has, any kind of higher view in terms of where we are in this process and how we should think about this going forward, given all the progress that you've already made through the first couple of quarters of this year?
Bill Christensen: Yes. So, I'd say there's a couple of factors. So, we're definitely not finished, Susan. There's a number of overarching topics that are coming into this decision-making process. One, obviously, is macro headwinds and our expectations on kind of midterm volumes. Second, is regional presence and our ability to deliver on time and full to our customers. So basically, it's a network view, making sure that we have assets in the right place. Third, what we've already talked about today is, are we balanced effectively between labor and investments in automation. And I would argue we're definitely not balanced today. So, this is going to be a big opportunity for us as we move forward. And obviously, there's a cost to that, but there's also a benefit and that will then also lead to probably a rebalancing of assets to make sure that we have the ability to serve the customers. So, there's a lot of overarching topics that are coming into this decision-making process, which leads then to the answer for your question is, no, we're definitely not finished. This is a long-term process. And we've constantly said that we need fewer sites that we overinvest in and create high-performing operating assets. So, again, to use the analogy that I shared with Phil, we're in the early innings. And this is a long game, especially when you look at some of the lead times on automation around the world, this is not something that we're going to solve in the next quarter.
Susan Maklari: Okay. Thank you for all that and good luck with everything.
Bill Christensen: Thank you very much Susan. Have a good day.
Julie Albrecht: Thank you.
Operator: Our next question comes from the line of Reuben Garner with The Benchmark Company. Please go ahead.
Reuben Garner: Thank you. Good morning everybody.
Bill Christensen: Hi Reuben.
Reuben Garner: So, maybe to start a clarification on the pricing outlook in the near-term. Are you guys seeing -- what are you seeing from a sequential standpoint on pricing? Has it been pretty stable? Or are there any categories within doors or windows or anything doors versus windows that's changed from a competitive standpoint over the last 3 to six months?
Bill Christensen: Yes, it's pretty flat, Reuben. I'd say that there's puts and takes, but all-in, it's flat.
Reuben Garner: Okay. And then in your kind of longer term discussion. You mentioned pricing capabilities, I think, was the terminology used. What does that mean? Is that looking at things more centralized than you have been less centralized? Any detail would be helpful.
Bill Christensen: Yes, sure. So, yes, what that means is building better capabilities and systems within our organization to be able to create decision-making documentation and make those decisions on fact base that I would argue have not been as robust as they should be. And in a high inflation environment and potential volatile environment, we want to make sure that we're prepared as an organization to react, so that would be the one area. It's kind of getting ourselves better aligned to react to the volatile environment that we've been throwing into the last couple of years, and we feel could potentially continue. And second point is just to make sure that we're doing our homework. We have a very broad portfolio. We're a global player. So, we operate in many different markets, and we just want to make sure that we're doing a good job of supporting our sales teams around the world with the right data and documentation to guide on pricing decisions.
Reuben Garner: Got it. Congrats on the strong performance and good luck with the rest of the year.
Bill Christensen: Yes, thank you very much Reuben. Take care.
Julie Albrecht: Thank you, Reuben.
Operator: Our next question comes from the line of Michael Rehaut with JPMorgan. Please go ahead.
Andrew Azzi: Its Andrew Azzi on for Mike. Thank you for taking my questions.
Julie Albrecht: Sure. Good morning.
Bill Christensen: Hey Andrew.
Andrew Azzi: Good morning. I just wanted to ask if you can comment maybe on volume monthly trends in the retail channel for doors and maybe kind of get your read on how retail is trending compared to the underlying market? And how you perceive your volumes relative to the rest of the industry?
Bill Christensen: Yes. So, as we've kind of discussed in the prepared remarks, our expectations, obviously, for the retail segment to be kind of down mid-single digits. There's a seasonal downtick in Q4 that Julie talked through when she was talking about kind of our sequential EBITDA margins, which is normal in the industry. But based on what we're seeing and the comps, we don't feel that we are way out of the pocket of the general market. So, I'd say we're trending in line with the general market. And we participate, obviously, in a number of different channels and geographic regions. So, there was some discussion, and we had this discussion on the last quarterly results call. We actually did see some opportunities in Europe, and we were gaining some share because some competitors have overextended themselves in a pretty volatile environment, and we're not able to support the customers, as the customers want it. So, there was some transfer of volume to our production sites in a number of different countries across Europe. So, some of the cracks are starting to show. And we've been benefiting from that just based on our size and our scale and presence. But I'd say, in general, we're definitely in line and tracking with the market and what we're seeing.
Andrew Azzi: Thank you. That's helpful. And then maybe if you could comment on capacity utilization in your sense for how the overall industry is tracking there?
Bill Christensen: Yes. So, we wouldn't share that kind of detail. The one thing I can say, and this is what we just talked about also with Susan's question is that there's a lot of opportunity for us to kind of optimize what we're doing from a global supply chain standpoint, and rebalancing our supply chain and cost to deliver products into different market segments. So, automation will really help. I think in general, or I know in general, clearly, there's a utilization issue around the world in building products because volume is soft. It's down year-over-year. We expect that trend based on current expectations to continue into Q4. So, there is excess capacity. But I feel that we've done a good job of managing that market reality, holding price and taking care of our homework on the cost side to overdeliver on the EBITDA, which is what we're focused on and pretty happy with this quarter.
Andrew Azzi: Thanks Bill and congrats again on the strong results.
Bill Christensen: Thanks Andrew. Have a good day.
Operator: Our next question comes from the line of Steven Ramsey with Thompson Research Group. Please go ahead.
Steven Ramsey: Hi, good morning.
Bill Christensen: Hey Steven.
Steven Ramsey: On the Phase 2 key levers, the growth performance bullet point there, there are three of them which is the biggest mover, maybe which of these is the fastest to achieve? And maybe which of these do you feel is the furthest along at this juncture?
Bill Christensen: Yes, I think there's different levels of maturity just based on kind of where we are, what segments we're participating in. I do think that sales force efficiency is an opportunity in general, just to do things more effectively. So, that's clearly an opportunity. But there's a lot of different things that go into improving sales force efficiency, training, better segmentation, et cetera, and those are not short-term levels, there's a midterm levers. Definitely, our go-to-market process and what we're doing around pricing are going to be more of the short-term levers. As we look into how can we balance then the time zones of the opportunity and the benefits that we see in the sequencing that we're going through. So, this is also part of our sequencing process to make sure that we're balancing resources against benefit and kind of time and complexity to achieve.
Steven Ramsey: Okay, helpful. And then when I think about productivity benefits clearly much better in Q3 than Q2. Can you talk about kind of maybe not quantify, but the that component of EBITDA improvement is going to be as significant in the fourth quarter and into early next year? Or is that something that moderates as we move forward?
Julie Albrecht: Yes, I would say in the fourth quarter, I would expect probably actually higher productivity. You combine productivity going on, quite frankly, day-to-day in the business, as well as the more explicit cost savings actions that we've been taking and talking about with, again, site closures, headcount reductions, other types of cost reduction activities that are more, call it, intentional and maybe call it higher level project base versus, again, that day-to-day blocking and tackling of productivity going on across the operations. So, bottom-line, we would expect that productivity to accelerate from Q3 into Q4. And like I mentioned before, I mean that really is important, right, as we face these demand headwinds that we're talking about for Q4 and again, noting that we don't have the same level of price/cost benefit that we've had earlier in this year. So -- and going into next year, I mean, I'm not going to quantify what we expect yet for next year. But again, as we've been talking about today and before, we continue to view there to be a lot of opportunity to improve our profitability. And a lot of that does center around productivity and cost reductions as well as some of the growth items Bill has mentioned as well.
Steven Ramsey: Excellent. Thank you.
Bill Christensen: Have a good day.
Julie Albrecht: Thank you.
Operator: Our next question comes from the line of Alex Rygiel with B. Riley. Please go ahead. your line is open, please go ahead.
Alex Rygiel: Thank you and good morning. As it relates to the three facility closures, is there any anticipated revenue loss from those?
Bill Christensen: Hey, good morning Alex. Yes, it's very limited. As with prior closures, we feel pretty confident that we're able to take the asset offline and there's going to be nominal revenue loss, at least that's our expectation today and what we're baking into our model.
Alex Rygiel: And then can you also talk about investment in new products in light of the CapEx uptick?
Bill Christensen: Yes. So, clearly, there's going to be some things that we're doing around growth. I mean, as we look at growth, automation will be one area that we can take the cost out. But clearly, we also are looking at innovation, product innovation and how we create products in the future. Obviously, that have a strong demand. I'll point to our composite windows, which are doing exceptionally well. I mean high growth factors growth, not percentage growth, but it's off a low base. And there's other areas where we see exceptional growth opportunities. So in our VPI business, which is multifamily windows, that's an area where we believe, clearly, we're underpenetrated. We have a great team, great products, and there's a lot of opportunities. So, it's not just about new products. It's also about kind of white spot penetration and taking what we have, and we're doing really well and pushing it into areas where we're not yet active. So, we're pretty happy about what we're seeing in the short-term. We do have a lot of work to do around innovation. That's a longer-term challenge, and that's something that we're also starting to think more about, but it's people on performance right now, and there's ample opportunity in the short-term for those buckets.
Alex Rygiel: Thank you.
Bill Christensen: You're welcome. Have a good day Alex.
Julie Albrecht: Thank you.
Operator: Our next question comes from the line of Truman Patterson with Wolfe Research. Please go ahead.
Trevor Allinson: Hey guys, this is Trevor Allinson on for Truman. Thank you for taking my questions.
Bill Christensen: Morning Trevor.
Trevor Allinson: Start on Europe, you guys had some really nice margin improvement there, not only on a year-over-year basis, but also on a sequential basis. I think margins were up 80 basis points versus 2Q. Your revenues were down sequentially. Just wondering if you could talk about what drove that margin improvement sequentially? And then should we think about margins maybe outperforming normal seasonality there going forward to some of these improvement initiatives you put in continue to flow through?
Bill Christensen: I mean, as you saw in the release and the comments that Julie and I shared today, there is a pretty significant volume headwind. If you look at the volume mix were in Q3, this is high teens volume headwinds. So, we're pleased with the progress that we're making in the market. It's a combination of tightening up cost, positive price/cost and productivity improvements that we're making. And so I'd say we're doing what we need to be doing, definitely not there yet, but we are expecting continued challenging macroeconomic environment across Europe. And our expectations are that, that macro reality will have a continued detrimental effect on building products volumes. I mean you see inflation, you see interest rates. We have a war. We're getting into the heating season, where energy costs are going to become an issue again. So, it's a tough environment, and we're doing a nice job. And Julie can comment on Q4, but we're expecting tough times ahead. So we need to make sure that the homework is being done to prepare for that reality.
Julie Albrecht: Yes, sure. Thanks Bill. Yes, absolutely. Europe margins in the third quarter were very strong. We're really pleased with what that team is doing. And they're doing a lot of great things going forward. Our outlook for their fourth quarter margins really don't show that same level of improvement though. In fact, we're going to say, I mean, probably closer to the level of Q1 of this year, probably not getting back to what we delivered in Europe last fourth quarter. So, kind of to Bill's point, really volume in Europe, we're still expecting that 15% to 20% down year-over-year in the fourth quarter for Europe's volumes limited, again, year-over-year price benefit. And so that volume headwind is a pretty large one for them despite all the good work around productivity and such. So, we don't expect, I'll say that a similar level of margin Q3 into Q4 in Europe. And again, like I said, probably something more like maybe not exactly like Q1 of this year, but something closer to those levels.
Trevor Allinson: Okay. Understood. And then a quick one on corporate and unallocated costs that were down about $10 million year-over-year. I know you've talked about some onetime costs coming back there, but you've also got some savings from headcount reductions. Is that down $10 million year-over-year. Is that a good run rate moving forward? And how are you thinking about corporate unallocated here in the fourth quarter?
Julie Albrecht: Yes, I think that roughly $20 million a quarter run rate is pretty reasonable. I mean we do have in that number unforecastable things like other income events that come in from time to time that we don't have a lot of visibility to a lot of times, not that material. But nonetheless, that's kind of more of the wildcard. But when we look towards the end of the year, I think corporate unallocated probably lands full year in that $80 million to $85 million.
Trevor Allinson: Okay, understood. Thank you. Appreciate it. Good luck going forward.
Julie Albrecht: Sure. Thank you.
Bill Christensen: Have a good day Trevor.
Operator: Our final question comes from the line of Keith Hughes with Truist. Please go ahead.
Keith Hughes: Thank you. You had called out $30 million in cost savings. I believe that's all year-over-year in the third quarter number, is that correct? And number two, as we trend towards, I guess, we get $50 million next year, roughly, when do you think that will be in the fourth and how much of it is Europe and how much in North America?
Julie Albrecht: Yes. First of all, just to clarify, yes, the $30 million is in the quarter that we delivered, and we're in that kind of call it, $65 million range year-to-date Q3 around kind of all things, cost savings and productivity. Just thinking about -- well, first of all, just to clarify on the $50 million, we're delivering $100 million this year. And then with actions taken this year, not all that obviously lands in 2023. And again, this is where we're getting $50 million carryover into 2024. So, I do want to also make that clarification. And I think from a cost reduction perspective, I think right now, roughly in line with pro rata, the split of our business is about -- it's probably the right way to think about the delivery of that $100 million and we can talk a little bit more about that going forward as we make more plans and give more color around 2024. But roughly speaking, the cost actions are across the footprint, right? They're North America site. Europe continues to review its footprint and headcount, overhead, supply chain, et cetera, et cetera. It's very broad. But high level, I'd say that split is generally in line with how our business is allocated.
Keith Hughes: And will we see that $30 million in the fourth quarter? Or is it going to kind of year-over-year? Or is it going to tick up as you do more work?
Julie Albrecht: I think the run rate is going to be a little bit higher in Q4. And quite frankly, to get to our in which we have visibility to, I think specifically, we need to deliver around $35 million. So, we're comfortable with that at this point. So, yes, the run rate increases a little bit in Q4 over Q3.
Keith Hughes: Okay. Thank you.
Bill Christensen: Thanks Keith. Have a good day.
Operator: I would now like to turn the call over to James Armstrong for closing remarks.
James Armstrong: Thank you for joining our call today. If you have any follow-up questions, please reach out, and I'll be happy to answer anything I can. This ends our call today and please have a great day.
Operator: I would like to thank our speakers for today's presentation and thank you all for joining us. This now concludes today's call and you may now disconnect.